Operator: Ladies and gentlemen, welcome to the Veolia Q3 2020 Results Conference Call. I now hand over to Antoine Frérot, CEO; Estelle Brachlianoff; COO; and Claude Laruelle, CFO. Madam, gentlemen, please go ahead.
Antoine Frérot: Thank you. Good morning, ladies and gentlemen, and welcome to this conference call on Veolia's Q3 2020 results. I will present these results with Estelle Brachlianoff, our COO; Claude Laruelle, our CFO; and Olivier Brousse, our Head of Strategy.  During this call, I will, of course, give you an update on our project to buy Suez. And we will then present our very good Q3 results, which show the strong capabilities of our group to bounce back quickly. These very good Q3 results enable us to confirm our 2020 objective, which is a Q4 2020 performance equivalent to Q4 2019. And we will then take all your questions.  I am moving on Slide 5. On October 6, we acquired from ENGIE a 29.9% stake in Suez with the intention of launching of a tender offer on Suez' remaining share capital as quickly as possible in order to create the world champion for the green transformation. As I explained at the end of August, when we made our offer to ENGIE, this project to create the world champion for the green transformation is a unique opportunity because the climate emergency have never been more pressing and because the stimulus packages in Europe and elsewhere all focus on the environment.  There is no more time for debating climate change. Now is a time for action and quick action in order to save our planet. This planned team-up with Suez is a great answer to the environmental emergency by bringing timely solutions to all our clients. The complementarity of our 2 groups is comparing in terms of assets, geographies, know-how, technologies, human resources and clients. Our values and corporate cultures are also very close. We want to carry out this project together with Suez' teams, all of them, who are all top-quality professionals at our various teams, be they field operators, managers, heads of businesses or Suez top management.  As you know, the growth of service businesses relies on the diversity of talents, ideas and competencies. From this point of view, the opportunity to combine Veolia and Suez will accelerate our development. Our strategic plans are also very much aligned. Sharing common resources will enable us to accelerate the execution of both group strategies and reach our objectives earlier. This combination will therefore be strongly value-creating for all stakeholders. Our clients will benefit from a larger and more innovative offering, which will address their increasing needs. The employees of both groups will have extended new career opportunities and the production is also very much accretive to EPS and value-creating for our shareholders.  I move to Slide 6. Our project is progressing as planned. On July 31, ENGIE announced its intention to sell its minority stake in Suez. On August 30, we proposed to ENGIE to acquire a 29.9% stake of Suez, in other words, most of its stakes. We have succeeded in this first step of the production and have acquired from ENGIE on October 6 the 29.9% stake in Suez at €18 per share. We began the preparatory antitrust work as soon as we announced our interest in Suez. This process is continuing and progressing normally. We intend to prefile to the antitrust authorities by the end of November.  Meanwhile, the management of Suez has started a certain number of legal proceedings, which we are addressing with great determination, and we will succeed in [indiscernible] them. They are not delaying the implementation of our project as the longest process is the antitrust approval, which we have begun and which is progressing normally. As I said, there is a plus for everyone without exception in this project. Our intention is inclusive and designed to build a winning Veolia plus Suez by joining forces. We aim for our projects to be accepted by Suez's Board of Directors or by its shareholders. As soon as we have obtained this report, we will launch a voluntary tender offer to buy the remaining 70.1% of Suez shares.  I move to Slide 7. The financing of the transaction is secure. On October 14, we took advantage of very favorable market conditions and issued a €2 billion hybrid bond split into 2 parts: €850 million at 2.25% for 4.5 years and €1.15 billion at 2.5% for 8.5 years. This issuance already enable us to secure our investment in [indiscernible]. The financing of the total offer will come from a bridge loan, which will be refinanced by the proceeds of the antitrust asset divestments and complemented by an equity issue, which is targeted below 20% of the existing market value of Suez. This will enable us to keep the group's net debt/EBITDA ratio at around 3x and to bring significant EPS accretion.  On Slide 8 now. At Veolia, we are convinced that this project is value-creating for all stakeholders. It is good for our shareholders, our clients, the planet, the communities in which we operate and good for the employees of both groups. I'm certain that all together, we will quickly achieve our ambition of becoming the world champion for the green transformation.  On Slide 9, let's now move to our very strong Q3 results. I have to say that I am really very proud of Veolia's capacity to bounce back and by the extraordinary work and energy of all our employees, which made such a swift recovery possible.  On Slide 10, we have managed to adapt very quickly to this incredibly sudden and severe sanitary crisis. As you can see, we were negatively impacted by the crisis for only 3 months, from March to May, and we recovered our 2019 global activity rate as early as Q3 with an even higher level of profitability. Our Q3 revenue reached 99.9% of Q3 2019 at constant scope and perimeter. Our published revenue represents 97.7% of the Q3 2019 as Forex and the divestments of our municipal energy assets in the U.S. in late 2019 impacted revenue by 2.1%.  EBITDA and current EBIT are above Q3 2019. Q3 EBITDA reached 102.5% of Q3 2019 levels at constant scope and Forex and 100.1% at current. We have, therefore, completely compensated for COVID effects, Forex and scope. Q3 current EBIT reached 104.3% of Q3 2019 at constant scope and Forex and 100.3% at current. We have, of course, benefited from the strong resilience of most of our businesses. The recovery of the most impacted activities began in June and was then confirmed and amplified throughout the third quarter.  Our field teams have been particularly reactive and efficient. And the additional cost-cutting program, which we quickly launched in late March called Recover and Adapt, has perfectly fulfilled its objectives. In total, €395 million of savings have been achieved in the first 9 months, including €195 million from our recurring efficiency program and €200 million from the additional Recover and Adapt Plan. In order to secure our dynamic growth path for the months and years ahead, we have chosen to maintain all our development and innovation projects. These projects will fuel the future growth of the group in 2021 and beyond. These very good results allow us to confirm our guidance, which is Q4 performance equivalent to Q4 2019.  On Slide 11, you can see our detailed quarterly figures for 2020. They show you how quickly we were able to recover with Q3 2020 revenue at the level of Q3 2019; EBITDA up 2.5%; current EBIT up 4.3%; and current net income up 6.2% at current scope and Forex; and for the net income plus 10.6% at constant scope and Forex to €142 million.  Moving now to Slide 12. As I mentioned earlier, we have decided to maintain our growth and innovation projects in order to consolidate our rebound and to secure our growth next year. And our sales team in the field have maintained a strong level of commercial activity despite the sanitary crisis. No projects have been canceled and very few delayed.  We have thus concluded several transactions in Central and Eastern Europe, mainly in energy. We have pursued our development in hazardous waste in Asia with 4 plants under commissioning in China and 1 in Singapore. We have also boosted our investments in recycling. We have accelerated in a very promising activity the recycling of lithium batteries by partnering with Solvay. We have won a BOT for recycled PET plastics with Mitsui and 7-Eleven in Japan. We expect from that annual revenue of €40 million as of 2024 for a 20-year period. Finally, in terms of innovation, we are progressing in key strategic areas such as the green position of agriculture or the digitalizations of our activities.  I now hand over to Estelle Brachlianoff, who will give you details on the specific dynamics of our main activities and our achievements in terms of efficiency. Estelle, the floor is yours.
Estelle Brachlianoff: Thank you, Antoine. I'm extremely happy about our Q3 operational results, which are ahead of 2019 performance, both in EBITDA and EBIT. This means we've managed to compensate both the COVID impacts and the sale of our district energy business in the U.S. in our results in only a matter of months. And there is only one risk businesses, back to essentials and strong and quick adaptation.  Back to what's essential means maintaining all our services to our customers while ensuring the safety of our employees as well as focusing on margin and cash. And let me emphasize that the sale opportunity doesn't change the focusing anyway. Strong and quick adaptation, our cost-cutting has been doubled this year to €500 million, which is an unprecedented performance for Veolia. We've designed and launched our Recover and Adapt Plan early in April and already delivered 80% of the annual target while delivering on our annual efficiency plan as planned. So you can understand why I'm so pleased with this performance and our team's ability to adapt.  Beyond this quarter, some of this transformation, as Antoine mentioned, is here to stay and will level us to deal with the second wave of the virus. I'm thinking, of course, of many digital tools, whose usage has been -- seen a massive boost in the last few months. We now, just to give you one example, have 33 hub grades, which monitor live operational and [indiscernible] performance of our customers' assets around the world.  Live data, combined with artificial intelligence, help us to deliver efficiency and productivity, thanks to those upgrades. This can also be transferred into remote control, if needed, which I understand how it can be so important nowadays. Our customer hub has helped us enormously to share data with our customers on a daily basis as well. In a nutshell, the very good results of Veolia in the third quarter show that we are able to adapt quickly and strongly.  I would like now to walk you through our various activities [indiscernible] back in the last few months with municipal water on Slide 14. Volumes were very strong, except in a few cities. And we enjoyed favorable weather conditions. Cash collection, which we monitor closely, has held up as well.  On Slide 15 now. The more impressive bouncing-back has certainly been seen in our construction activities. After almost a total halt in spring, construction works have resumed and we even have been seeing some catching-up effect this summer in France. Our focus now is with the backlog for 2021 with newly elected French municipalities.  Coming to solid waste now on Slide 16. Our municipal collection [indiscernible] from waste has been quite resilient. On the other hand, commercial waste volumes were directly and almost immediately impacted by lockdown measures. And you have a direct reading on the graph of reopening dates in France, Germany and the U.K. with even some country destocking effect at the start of the summer. In September, we were still missing around 5% to 10% of volumes, typically shops and restaurants which have not reopened fully. [indiscernible] measures as well as price increase have helped us to recover our pre-COVID economic performance.  Moving now to hazardous waste on Slide 17. Our balanced portfolio of customers, which includes major pharmaceutical companies, for instance, has helped us navigate through the crisis. And we are pleased to see volumes available in Europe and the U.S. China is even running at a higher speed than we expected at the beginning of the year. And we have expected some new capacity opening. A very resilient business altogether, when you consider it deals exclusively with industrial customers.  On Slide 18 now. As I mentioned earlier, our adaptation plan encapsulates increased savings as well as new ways of working. When it comes to cost-cutting, the year is really exceptional. Our initial efficiency plan of €250 million has been confirmed and is delivered. But we have doubled the target to €500 million with an additional Recover and Adaptation Plan launched in early April to compensate for the COVID impact. At the end of September, we are well on target with 80% already delivered. This is really a great achievement and a key pillar to our Q3 results.  Looking ahead now on Slide 19. I would like to share some color on the way I see Q4. The Southern Hemisphere is entering into summer, and we can enjoy Australia, for instance, reopening progressively all commercial activities. North America is following pretty much the same trend as this summer. As far as Asia is concerned now, our activities are pretty much back to normal in most countries, which is quite impressive. In Africa and the Middle East, I'm pleased to see construction work at full speed and our order book being filled.  The situation is quite different in Europe, obviously, with the very recent announcement in France and several European countries back into lockdown mode. Although we don't have the full picture yet, we anticipate the impact to be overall much more limited than in the spring with all our activities fully working as normal. Water distribution as well as district heating are barely impacted at all. Our industrial customers are keeping their production sites open, which means we are enjoying good volumes of hazardous waste. The same applies for construction works. We anticipate though that the volume of waste both collected and treating on behalf of our tertiary and commercial customers will be reduced to some degree.  Moving on to Slide 20 now. Mid-October, before the recent worsening in Europe, we were quite confident we would beat our guidance, given the events we had seen in our Q2 results and recovery. Now and given those recent governmental measures, we should be able to compensate for the impact, thanks to our mix of geographies and activities, which allows me to confirm our guidance and recover an operational performance in Q4 equivalent to that of Q4 2019. Beyond this year, our strategic choices and the activities we want to develop remain fully valid among which have, of course, plastic recycling, hazardous waste, digitalization of water and heating services as well as water technologies.  I have to say the last few months have confirmed those were absolutely the right choices and priorities of developments. We've confirmed, if not reinforced, customer demand for those services and very good performance. The combination with Suez fits perfectly with this strategy, thanks to a very complementary geographical footprint outside France, undisputed synergies and a similar approach to the future of our business. Our determination to build a world champion for ecological transformation has never been stronger as it's never been more needed and urgent to deploy solutions for our customers.  Now I can hand over to you, Claude.
Claude Laruelle: Thank you, Estelle, and good morning, ladies and gentlemen. I'm on Slide 22. It's a little bit special this time as we are going to review during the presentation Q3 numbers and 9-month numbers.  As Antoine told you at the beginning of the presentation, the very strong Q3 performance more than confirmed the June-July trend that we talked about during the last presentation. We have a revenue of €6.3 billion in Q3 comparable with last year at constant scope and Forex; a good operating leverage, leading to an EBITDA of €893 million, plus 2.5% at constant scope and Forex; and EBIT at €333 million, plus 4.3%; leading to a current net income of €142 million for Q3, plus 10.6%.  The net financial debt is well under control with a reduction of more than €700 million compared to Q3 last year at €11.7 billion, thanks to a good management of cash collection and CapEx. On the slide, you can also see the 9-month figures, which, of course, are improving compared to H1, roughly reducing the negative trend of H1 by 1/3 for all metrics. Forex continues to impact our numbers for 9 months, mostly in Central Europe and LatAm.  I'm now moving to Slide 23, where you can clearly see the rebound of Q3 in revenue in almost all geographies. France has a sharp rebound in Q3, plus 0.8%, with a dry summer for French water and a lot of local tourism. French waste was also very strong, thanks to improved volumes and discipline on pricing. The Rest of Europe, plus 0.8%, is benefiting from a very resilient Central and Eastern European waste recovery in many countries. The Rest of the World, minus 6%, is mainly due to the disposal of the district heating in the U.S. for more than half of it. And we will see later in the presentation, China remains well-oriented. Regarding construction in our global business segment, Q3 was a very good quarter with a significant rebound for both SADE and VWT and even much higher activity than last year.  I'm on Slide 24. How do we compare Q3 revenue this year with last year? You can see on the slide that the main effects are: first, Forex for minus 1.7%, for Q3, it's LatAm, U.S. and Central Europe and a little bit of U.K.; second, volumes with a slight minus 0.8%, better than expected as the economy has not fully recovered everywhere and much better than H1, in H1, we had minus 6.1%; third, pricing for plus 63% -- or plus 1% of revenue, which is really a significant marker since the beginning of the crisis and the strong pricing discipline that we continue to apply to all our businesses.  Moving to Slide 25. You have the 9-month revenue bridge with almost all the negative effects on volumes for minus €862 million occurring in Q2 and the same pricing discipline throughout the 9 months, as I mentioned for Q3, with a positive effect of €206 million for 9 months.  I'm now on Slide 26. Well, you can see a lot of improvement for waste activity in Q3. Starting by recycled prices, they have improved during the year from minus 2.5% to minus 0.9% in Q3. This is due to the rebound of paper prices due to the lack of volumes collected and softened in Q2 and a good trend in Q3 and by the strong PET market, which is still driven by the increasing demand. Regarding waste volumes, as we told you, we were expecting a strong recovery in Q3 but not a full recovery in all geographies. In a nutshell, France and Asia are back to last year's volumes whereas the U.K. and Pacific are in between 90% and 98%, depending on the business lines, as Estelle told you.  One last comment on hazardous waste. Europe is back to its nominal activity in China. And China is sharply growing with 2 new facilities already commissioned in Jining and Changsha. Globally, hazardous waste revenue increased by 3.8% in Q3. Again, the pricing trend is very strong in Q3, plus 1.6%, thanks to the strong discipline of our commercial teams.  Moving to Slide 27. What are the main variation of Q3 EBITDA compared to last year? Forex and scope are entered like the revenue, respectively, minus 1.6% and minus 0.8%. What I'd like to highlight is a minus €2 million effect for volume and commercial in the middle of the bridge. This is a lack of volume impact, totally offset by the Recover and Adapt Plan. This is exactly what we projected to do to compensate our lack of volumes by our Recovery and Adapt Plan that Estelle described earlier to come back to our normalized level of performance. Finally, our usual and continuous cost-cutting plan is contributing significantly to the performance of Q3 at €64 million, almost twice the negative prices [indiscernible] of minus €34 million.  On Slide 28, you have the EBITDA bridge for 9 months. The main difference with the previous one is the volume and commercial part at minus €432 million, which is mostly coming from the lockdown in Q2, as we explained for the revenue bridge. The usual cost-cutting plans remained strong with €195 million achieved over the last 9 months. And I confirm that we are fully on track with our €250 million goal for the year.  What do we see in our different geographies? I'll start by France on Page 29 with French water, as I said, with the dry summer and hot August, leading to volume increase and a total of plus 0.8% year-to-date. Same trend as H1 on tariffs, plus 1.5% unchanged and a good rebound on works and the lockdown. French waste had also a strong Q3 with very good treatment volumes in both incineration and landfill, good C&I recovery and less municipal collection due to contracted activity. The pricing discipline in France continues to be very strong with plus 2% year-to-date. The EBITDA of France in Q3 is slightly above last year, thanks to waste recovery, good water volumes and our cost-cutting plan.  Let's move to the Rest of Europe on Slide 30. As I told you, Central Europe is very resilient and had a strong Q3, both on energy, thanks to good volumes and prices. As a reminder, in Q3, we sold mostly electricity in this region and prices were hedged last year. And a good momentum on our water business with overall good volumes and tariff increases despite the lower consumption in Prague. Q3 in the U.K. is only slightly down, minus 1.3%, with strong PFI performance and a record-high availability of 93%. But as Estelle told you, C&I collection is still below last year at around 90% activity. Germany has recovered normal waste volumes in Q3. And Southern Europe, which is essentially energy activities in Spain and Italy, has recovered well. EBITDA of the segment is slightly above last year, thanks to the strong recovery, the resilience of Central Europe and cost-cutting.  Moving to Slide 31. What about the Rest of the World? We have a couple of highlights. In Asia, we have a contrasted situation with a strong recovery of water business in China, plus 50% increase of our hazardous waste revenue in China in Q3 and on the other side, lower works with low margin in Japan and Hong Kong, some contract evolution in Korea and the disposal of low-tech waste collection business in Singapore. Thanks to the development of our hazardous waste business in China with higher margins, the Asia EBITDA is up 4% despite the drop of revenue.  In Latin America, despite the crisis and the long lockdown, the region is growing in Q3 at constant Forex, thanks to good tariff indexation in Argentina and tuck-ins, including hazardous waste management in Chile. North America is down minus 5.6% in Q3 at constant scope and Forex. This is due to the lower refinery activities leading to lower volumes on our recycling business. Municipal water is performing well as a very stable business. The EBITDA of the segment is slightly down in Q3 linked to the volume drop in various geographies, almost compensated by our cost-cutting plan.  I'm moving to Slide 32. We experienced a double-digit revenue increase in our construction activities in Q3 with a significant pickup since Q2 lockdown. For VWT first, Q3 was strong with our 3 main desalination projects in the Middle East performing very well. On top of that, we continue to sell cutting-edge and digital solutions with a total revenue of €380 million for techno delivery business line since the beginning of the year. For SADE, our network business, was almost -- was also marked with a very active August and a strong September, leading to a plus 10.1% increase in revenue. But bookings remain a concern with the lack of tenders in September. Hazardous waste is back to its 2019 revenue with pricing offsetting a slight decrease in volumes due to the industry activity varying by sector. Thanks to the strong performance of construction and the recovery of hazardous waste, the EBITDA of this segment is sharply up in Q3.  On Slide 33, you have the translation of EBITDA into EBIT. Depreciation and amortization is down, helped by the Forex and improved asset management. We continue to have a negative minus €14 million at provision level, including higher insurance provision. And in line with what we told you in July, the JV contribution is a little bit down after the lower contribution of our Chinese JVs in Q1 and Q2.  I'm moving to Slide 34, where you have the detailed bridge from current EBIT to current net income. Q3 was favorable for the cost of net financial debt, €99 million compared to €111 million last year with 2 main effects. The lower cost of our euro debt, which is coming from the continuous refinancing of our debt, it's now at 2.19%. And regarding interest rates in foreign countries, they have declined a lot compared to the same period last year. For example, in the U.K., that's been divided by 2; in the U.S., divided by 3; and in Poland, divided by 2 as well. This is impacting positively the swap of our euro debt into foreign currency. This leads to a current net income group share of €149 million for 9 months, €7 million for H1 and €142 million for Q3, Q3 being higher than Q3 last year by €9 million.  I'm now on Slide 35. You can notice that the CapEx are well under control, especially the maintenance CapEx. As you can see and as Antoine told you, we have maintained a significant level of discretionary CapEx with €211 million for 9 months to continue to fuel the growth for 2021. The 9-month free cash flow is impacted by the low EBITDA in Q2. But the working capital improved by €79 million in Q3, despite the rebound in revenue, thanks to a strong focus on cash by all our management and financial teams. Compared to September last year, the net financial debt is down by €742 million with 2 main reasons: the net financial divestiture of €461 million; and positive Forex impact of €244 million.  On Slide 36, you have the main variation of the net financial debt over the 9 -- the first 9 months of the year with the effects I have just mentioned. I'm on Slide 37. We keep a very strong cash position and a robust balance sheet with €9 billion of cash at the end of Q3. As you know, we are partially refinanced, as Antoine told you, the €3.4 billion of Suez share acquisition by the issuance of a €2 billion hybrid debt on October 14. All refinancing for Q4 and Q1 2021 is done as we speak.  On Slide 38, as Antoine and Estelle told you, after this very good Q3, where our performance was above Q3 last year, we can confirm our guidance for Q4. Thank you for your attention.
Antoine Frérot: Thank you, Claude. And ladies and gentlemen, we are now ready for the Q&A session. Please ask your questions.
Operator: [Operator Instructions]. We have the first question from Olivier Van Doosselaere from Exane BNP Paribas.
Olivier Van Doosselaere: Congratulations on the good quarter. I have two questions, if I may. The first one on your results, I guess, probably Q3 was better than expected and you can reiterate your Q4 outlook despite the new restrictions linked to COVID-19. I was wondering if you could just give us maybe already an initial feel, maybe just qualitatively on what you think those strengths might mean for 2021 and how you're thinking today of how 2021 might play out versus 2019 and how significantly you think you might be up versus 2019. Or if you think there's still some degree of caution that we should keep in mind.  And then the second question is actually on the situation with Suez. So you have indicated that you would exercise your rights to vote if it had to go that route and you would need all the Suez shareholders to actually vote on a potential replacement of the Board of Suez. Now I'm wondering, today, I understand that you cannot use your voting rights because of the litigation around the consultation of the Suez employees relating to the acquisition of the shares owned by ENGIE in Suez. How do you see the risk that actually that situation in terms of the litigation lingers on for many months and effectively prevents you from exercising your rights to vote if it would come down to a vote on the shares? That will be my two questions.
Antoine Frérot: Okay. Olivier, thank you, first, for your congratulation. On your first question, Claude will answer.
Claude Laruelle: Yes. Even if it's a little bit early to talk about 2021, giving the very good Q3 and despite the second wave of COVID in Europe, you know that we have confirmed our objective to recover our 2019 level of operational performance as early as Q4. So there is no reason not to recover our full underlying performance in 2021 with the same trend next year, which will be comparable to 2019.
Antoine Frérot: About your second question, Olivier, as I told at the beginning, the longest process for our project is antitrust approval. We will need between 12 and perhaps 18 months, but rather 12 months to get these approvals. And all the other issues will be treated paralleling, so there is no delay for this decision of our project. And even the social dispute will be solved before we got -- we get the approval of antitrust before 12 months.
Operator: The next question is from Mr. Emmanuel Turpin from Societe Generale.
Emmanuel Turpin: My first question would be a bit of a trading update in addition to the comments you made earlier in the call. I would like to focus on waste volumes, please, if you could just tell us what the status is on your main waste businesses regarding volumes. France was already good in Q3. But there were other parts of the world, where overall in Q3, volumes were down. What is the situation now? And I'd love a comment also for your backlog activity, so essentially construction on the likes of SADE, where does the backlog stand today?  And my second question is on the short-term outlook on considering the fact we're going back -- we've gone back into a lockdown or confinement -- partial confinement in some geographies. I'd love to do the exercise with you, if we may, to compare where we stand today versus where we stand at the start of wave 1, where the name of the game was trying to estimate what the impact of a lockdown would be on your business. We know the answer to that in wave 1. The situation is that today, we've got a lockdown, which is less severe. The industry is at work, as you said. And you've been able to adapt the way you are conducting your business. So the question is we don't know how long this new confinement is going to last, imagining that it could last beyond the 1 month set by most -- the authorities in France, for instance. What would be the likely impact on your business in terms of impact on EBITDA per extra week or extra month? Not an easy exercise, I would appreciate your help.  And lastly, rebounding on the answer by Claude on the previous question, you were kind enough to answer the question about full year '21 outlook. I understand that you mentioned that there was no reason that why full year '21 wouldn't be at the level of full year '19. I can't help feeling that it's a note below what I had in mind from previous statements that there was no reason why full year '21 wouldn't be somewhere between full year '19 and full year -- on where full year '21 should have been without the COVID. I'm wondering whether this is the message that you wanted to carry through, i.e., that it may not be as good as you thought -- you would have thought a few weeks or a few months ago.
Antoine Frérot: Thank you, Emmanuel. Estelle will answer the first question about waste volume. She will also answer the second question about the second lockdown, which has nothing to do with the first one, as you will see. And about your third question, you understand that for next year, 2021, we are very comfortable with what Claude told you. And of course, it is not impossible to do better as usual. Estelle, please?
Estelle Brachlianoff: Thank you, Antoine. On your first question on waste, I guess, I would go into the various bricks, which constitute the answer to that one. So there is volume, price and economical performance, which are the 3 bricks. If I start with price, we've been able to go on with price increase in Q3, as we've had in Q2 and Q1, which I'm super happy about. Because given the circumstances, we haven't been chasing volume, but we've been going on with protecting price and even price increase, so plus 1.6% of price increase in Q3 in the volume -- in the price, sorry, in the quarter.  With regards volume, which is the second part of the jigsaw, it's been decreasing by 2.6% in Q3. But I would like to compare it to the minus almost 15% we had seen in Q2. So the bouncing-back is really, really impressive. It's not full and complete, as you've seen on the Page 16, typically in C&I collection, where we have still 5% to 10% in some geographies missing. But the third part of the jigsaw is the economical performance, where basically we've been able, despite this minus in volume, to recover our EBITDA level, so thanks to our Recover and Adapt Plan. So in a nutshell, this part of the business had been impacted hard by the lockdown and the COVID, has bounced back very sharply, although not fully yet, but has already fully recovered this economical performance, thanks to price increase and recovery.  If you want me to dig a little bit into the volume base, so the minus 2.6% in Q3, it's really a mixed picture, as Claude already highlighted in the presentation. On the plus side, we have a plus 1% in France. We have a plus something like almost 9% in China, in particular in hazardous waste, which is on the plus side. On the minus side, we are still lagging a bit behind in Pacific in Q3 and a bit as well in our refinery recycling business in the U.S. So the all-combined effect is a minus 2.6%. So again, the bouncing-back of the results has been quite impressive.  In terms of the wave two, so how is wave two in Europe, at least, so different from wave 1 in many ways? First thing first, because everything in terms of our operation is still working as normal. So all our plants are open, our maintenance activities are going on. The works and the construction works are still open, which is very different from the situation we were in the spring. As you can see by just walking in the various cities in Europe, it's nothing to do with last April. So all together, our activities are up and running almost like normal. The only impacts we are anticipating are on volume of our customer, so the volume of activities of our customer and pretty much only the commercial and tertiary ones. So yes, we expect there will be a little bit of a minus something in just these commercial volumes, which impact mainly the commercial waste treatment and collection. So very big difference. Plus we've already adapted a lot. So our teams have adapted to new ways of working, including with digital and remotely when it's needed. So wave two should be very different from wave 1.
Antoine Frérot: And outside Europe.
Estelle Brachlianoff: And outside Europe, you're right, Antoine. Outside Europe, the wave two is a little bit of different concept. But I guess there is a big part of the world where the question is more the reopening and the loosening of some restrictions rather than the opposite around. I'm thinking of Australia, for instance. In South America, it's progressively exiting the most difficult months we've seen precisely this summer. So I guess outside Europe, we are either stable compared to what we've seen in the last 3 months or even improving in some geographies.
Operator: The next question is from Juan Pablo Berríos from Sagil Capital.
Juan Pablo Berríos: Just to come back again to the transaction with the Veolia. So I see with the extending the offer to minorities. But the question is more on the subsidiary level. So I understand there's one subsidiary of Suez, which is Aguas Andinas, the largest water company in Chile. And my understanding is that the Chilean regulation, the capital market now there, mandates tag-along rights when there are changes in control, and seeing we are effectively seeing a change in control from ENGIE to you guys. So how are you analyzing the legal front at this subsidiary level like in the case like this?
Antoine Frérot: Excuse me, sir, the connection is not good. Could you please repeat your question?
Juan Pablo Berríos: Sure. So the question is since regarding the transaction with -- well, with Suez. So one of the Suez subsidiaries is Aguas Andinas in Chile is an open -- is a public company that trades in the Chilean stock market, is the largest water utility in the country. So the Chilean regulation mandates tag-along rights. The capital market law requires tag-along rights when there is a change in control. So here, effectively, we're going to see a change in control from ENGIE to you guys. So the question is how are you analyzing the legal front at this subsidiary level? Because we have only hear about minority -- extensions to minorities at the higher level, not at the subsidiary level, when there is a law there.
Antoine Frérot: Yes. We understand, with this bad connection, that you are talking about the Chilean Suez water activities and how we analyze the new political decision about these activities.
Juan Pablo Berríos: No. I'm asking about tag-along rights. So because there is a change in control, right, so the Chilean subsidiary will go from ENGIE control to Veolia control. So there's a change in control. And tag-along rights, I'm asking about the tag-along rights.
Antoine Frérot: Estelle will answer.
Estelle Brachlianoff: So I guess thank you very much for your question. Just a first comment on the fact that amongst the very good assets Suez has in its portfolio, we talked a lot -- everybody talks a lot about Agbar in Spain. But it's right that the Chilean activities are very good as well, the part of the key assets we've identified in the portfolio for certain, and we -- I guess we like a lot. And altogether, although I'm not a specialist of the Chilean constitution so far, we could say that we have no intention of changing in any name, way, shape or form the actual structure of Aguas Andinas, which is a subsidiary of Agbar. So the intention is to stay exactly as it is. We [indiscernible] very embedded in Chilean type of activities, including some minority shareholders. I guess [indiscernible] minority shareholder of it. So the idea is not to change this situation as it is today.
Operator: The next question is from Andrew Fisher from Berenberg.
Andrew Fisher: Can you hear me? Sorry, it's Andrew.
Estelle Brachlianoff: Yes.
Antoine Frérot: Yes.
Andrew Fisher: Sorry. Okay. Just you've obviously covered what you're seeing in terms of volume effects and the trends that we're seeing in Q3 versus Q2. I was just wondering if you could also maybe expand a bit on what you're seeing from your industrial clients in terms of decision-making on new projects, in particular, say, on things like future industrial water projects, for example.  Are you seeing any improvement in terms of those companies opening up their budgets again to spend money on new projects? And also maybe if you could perhaps give us a little insight into sort of what sort of trends you're seeing across the different key sectors that you're addressing, such as oil and gas, pharmaceutical, power, food and beverages, et cetera, please?
Estelle Brachlianoff: Okay. Thank you for your question, Andrew. Basically, the short answer to that one is we are super happy with our industrial customer base altogether. And I will expand a little bit on that. But that could have been a question when the crisis has risen. And it has proven been super resilient as you can see typically on the graph I've just shown on the hazardous waste business. If I expand a little bit on your first part of the question, which was on the backlog and the order book, we are very happy with it. We have seen in our Veolia Water Technologies activities, the order book is really -- as it is in this part of -- as it was last year and is super full. So we haven't seen any drop. I guess there was 1 month or 2 in the middle of the spring which were a little bit less, but it's been catching up since then.  So industrial customers are still spending money as far as we can see or intending to spend some money in infrastructure, such as water treatment typically. In China, it's been even more than that. I guess we're even above the normal type of level of activity in the industrial customer base with a little bit of a catch-up effect of the construction work, which were delayed first part of the year. So no signal of worrying at all. In terms of the backlog, the only, I guess, attention point Claude mentioned was more on the municipalities' order book in France, which is a very specific points linked with the SADE activities. Apart from that, on the industrial side, everything is really good and pretty much everywhere.
Operator: We have no further questions at this time. [Operator Instructions]. The next question is from Juan Rodriguez from Kepler.
Juan Rodriguez: Congratulations on the strong performance due to the current situation. A quick question on my side.
Antoine Frérot: Thank you, Juan.
Juan Rodriguez: Hello, can you hear me?
Antoine Frérot: Yes. I said thank you.
Juan Rodriguez: Just on the dividend side, given that there is better visibility on what would be your performance on the fourth quarter, if we could perhaps have a little bit more color on what you expect to be on the dividend level. Should we see 2019 reviewed level as a basis or maybe a return on a payout ratio? Or a little bit more color on this side should be appreciated.
Antoine Frérot: Juan, you know it is a bit early to tell you about dividends and to give you some color about it. But of course, more the revenue will be good, more we will pay dividend [indiscernible]. So for sure, it is a bit early in November to tell you about that.
Operator: The next question is from Philippe Ourpatian from ODDO BHF.
Philippe Ourpatian: Yes. My question is mainly linked to the Suez situation. In your last press conference, you mentioned that all the financing of the remaining 70% was secured by a group of banks. And this morning, we have some information that one of the funds, which is shareholder of Suez, the CIAM fund, was trying to organize an extraordinary general meeting, starting from now in order to attend this meeting somewhere in January.  And my question was if they are succeeding, means by forcing the Suez Board to: one, cancel the foundation; and two, allowing you to launch the takeover bid just after, as you mentioned, the 3 November, has this accelerated process changed something about the antitrust inquiries? It means that are we going to still continue to bet on the 12 months? Or there is some possible change because your process will be accelerated by the fact that you will be in a position to launch the takeover bid?
Antoine Frérot: Okay. So that's a question about the financing and not about the antitrust delay. So with a supportive Board of Suez on our project, we will be more comfortable and we will be able to go probably quicker for solving the antitrust demands. And so it could catch a bit of delay. But as you know, there are the global antitrust analysis. And what they will say finally will take, I would say, at least 12 months from the beginning. But it will be easier to go quicker with the moment they will approve our project because we will get the help.
Philippe Ourpatian: In fact, my question is, is there any change in terms of antitrust? If you are launching the takeover bid, are the antitrust are going to move from a Phase 1 to a Phase 2, just to be clear and clear in terms of timing, too?
Antoine Frérot: Not at all, it will not change. And you know that as we told in the press conference last Tuesday that we hope that we will [indiscernible] and we will do the rest in parallel.
Operator: We have no further questions at this time. [Operator Instructions].
Antoine Frérot: So if there is no more question, I will have to thank you all of you for your presence on this call. Thank you for your interest for Veolia, and have a good day. Goodbye.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you all for your participation. You may now disconnect.